Operator: Good day, ladies and gentlemen, and welcome to the Newtek Business Services full year 2017 earnings conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Barry Sloane, CEO and President. You may begin.
Barry Sloane: Thank you, operator, and welcome investors and analysts to our full year 2017 financial results conference call. We certainly appreciate your interest and investment in the past year of 2017. And we have posted a PowerPoint presentation for all of you to follow along. Go to our website newtekone.com and then you could go to the Investor Relations section and you'll be able to follow along on the presentation. I'd like to draw everyone's attention to the forward-looking statement message on slide number one. For you speed readers out there, we can now go right to slide number two where we'll begin our presentation. We always like to point out our historical stock performance. These numbers are taken right off of Bloomberg. Last year's one-year return, including dividend, 27.5%. Our three-year return, 102.2%. Our five-year return, 220.9%. Given our comparative returns versus other BDCs, we're extremely proud of the financial results and I specifically wanted to thank all the employees, stakeholders, management team of Newtek and the Board of Directors on being able to deliver these results to the shareholders. On slide number three, we report our full year 2017 financial result information. We're proud to announce an increase of NAV of 5.5% over the $14.30 per share at Dec 31. We finished last year at $15.08. If you look at all of the other metrics, you could see that we've clearly had real good performance in the year. Net investment loss, which is unique obviously for a BDC, is $7.9 million. However, that did narrow from $9.3 million. The delta here is, as a BDC, that's unusual to sell its loans regularly. We've done so for 14 years and booked gains on sale. Those capital gains do count as qualified income. But for the GAAP NII number, it shows up as a loss. It's one of the issues that we have to deal with relative to BDC accounting. We do modify that in an adjusted net investment income number of $30.8 million or $1.77 a share. That was a 10.6% earnings increase on a per share basis compared to the adjusted NII of $23.2 million or $1.60 a share for the year ended December 31, 2016. Debt to equity ratio of 78%. We have had investors in the past that remarked about this number moving up and down. That is just a function of how our loan sales do bunch up at the end of a quarter at times. We try to avoid that, but there are times that we will bump that number up. If you take a look at it and realize, what percentage of that higher number is evidenced by government guarantees that are sold into a forward Wall Street bid, you wouldn't quite be as concerned. Obviously, at this end of the year, Dec 31, 2017, we didn't have it. We reported a 78% debt-to-equity ratio. Total investment income of $30.9 million, growing 25.7%. Total investment portfolio increased by 32%. For a growth BDC like ours that's able to grow its balance sheet, raise equity at attractive prices that we believe is non-dilutive to shareholders from an earnings-per-share perspective. These are good numbers. Our portfolio income continues to grow. Mind you, a little over half our portfolio has no debt on it. It is floating rate, quarterly adjust above prime. So, we're really throwing off a very nice coupon income for our senior secured loans that wind up going into securitizations. On slide number four, you could take a look at Newtek Small Business Finance, which is the government guaranteed 7(a) lender, one of the rare 14 non-bank lending licenses, funded a record $385 million of 7(a) loans during the 12 months. That was a 24.8% increase. We're forecasting for 2018, loans fundings between $465 million and $485 million, a 23% increase. I want to mention this. This is against the backdrop of the SBA statistics, which I believe are down about 10% from the year prior. So, all SBA 7(a) loans, I believe, are down about 10%. We're growing our business against the trend and that's because of our business model, the way we acquire referrals which we'll demonstrate later on in the presentation, our utilization of financial technology, the NewTracker system. It's really coming together in a very nice way. Newtek Business Credit Solutions, NBC, a controlled portfolio company, closed $21.8 million of 504 loans and funded $18 million. Later on in the presentation, I'll go into the difference between a closed loan and a funded loan and why there is a delta there, which I think is important relative to income recognition down at the portfolio company. We're estimating that our 504 business is growing significantly and down the road will be a very nice contributor to our company. These 504 loans primarily do come out of the opportunities that we get through NewTracker. We're looking at loan closings of $75 million to $100 million and I do believe we will probably fund $40 million to $50 million within this period of time. We're excited about our new management team down in Orlando, headed up by Tony Zara. I will actually be meeting with them as I'm presenting at the Raymond James Conference in the next couple of days, but that is a growing group. We're staffed up, I think, six or seven individuals; hopefully, be up at around 10 by the end of March or the end of April. Moving to slide number five, our dividends. We paid $1.64 in 2017. That represented 95.4% of the estimated taxable income. If you compare that to the adjusted net income, it was about 92% to 93%. That $1.64 dividend during 2017 represent an increase of 7.2% on a per share basis over the 2016 dividend of $1.53. We're forecasting $1.70 in 2018 – $1.70 per share that includes the expected share raises throughout the course of the year. That will be a 3.7% increase. And the board of directors declared a first quarter cash dividend of $0.40 payable on March 30 to shareholders of record on March 20. For the past years of the BDC, our annual dividend payout has exceeded our initial annual dividend forecast. In 2016, we went from $1.50 to $1.53. In 2017, we went from $1.57 to $1.64. We left out the numbers in 2015 because they were a little bit confusing relative to the special dividend that we paid at the end of the calendar year in 2015. I want to point out that, as we go through these first few slides and looking at Newtek as an investment perspective, we, conference call after call for the last three-and-change years, have been fairly adamant expressing that the importance of following us on an annualized basis. We're a BDC that has been able to grow its NAV. It's been able to grow its dividend in a market frankly where other BDCs are lucky to be able to maintain their dividend and maintain their NAV. So, we're very proud of these statistics. We think it's based upon our business model. We work very hard in managing these operating businesses on a day-to-day basis. They don't always go up in a straight line. Sometimes there's puts and takes. But as you aggregate everything together, Newtek has really been a really good performer for the last three years. And I'm extremely proud of the board and the management team for being able to deliver these results to shareholders. On slide number six, we talk about our eighth and largest securitization of uninsured loan participations to come out of our 7(a) business. Wed did a $75.4 million unguaranteed 7(a) loan. I want to point out, those are unguaranteed, but not subordinated notes. They are pari passu with the government guaranteed pieces that we sell into the market for gain on sale. This offering consisted of two classes, both rated by Standard & Poor's, as all of our transactions to date have been done. $58.1 million single-A rated and a $17.3 million BBB rated. We had a record advance rate of 79.5%, a 3.25% improvement is the highest advanced advance rate of all securitizations. The notes are priced at an average initial yield of 3.59%. The A class came out at 200 over LIBOR. The B class came out at 300 over LIBOR. It was really a tremendous transaction, 100 basis point rate reduction over the prior transaction. Deutsche Bank and Capital One Bank, hats off to you. We appreciate your efforts as a comanager for the offering. All of our outstanding issues in the market – and we had collapsed a couple of them. So, I think there's five outstanding – have all maintained their ratings or have been upgraded or are in credit watch for upgrade. On slide number seven, we recently did a baby bond deal. We closed an underwritten public offering of $57.7 million. That includes the greenshoe. The stock symbol is NEWTI. They're trading on the NASDAQ and they traded up immediately at a premium. We're happy about that. Coupon on the note, 6.25%, due 2023. These are five-year fixed rate notes, non-callable for two years. These notes have been rated A minus from Egan-Jones as our senior debt rating is also A minus. We are pleased to announce and appreciate the efforts that was done by KBW, D.A. Davidson, Compass Point, BB&T Capital Markets and Ladenburg Thalmann. We plan on redeeming $40.2 million of the 7% notes of NEWTL on March 23. So, most of that deal is going to go to refinance the other notes from that offering. We have a live ATM program in the market. We believe this has been a very good way for us to raise equity. Weighted average price, $17.58 in 2017. Total proceeds of $19.6 million. We also have existing availability under that shelf. Slide number nine is a slide that we repeat in most of our presentations. Most of you are very familiar with it. We're proud of the fact that we have staked out a position over the course of – I think we're going on our 15th year, participating in the 7(a) SBA loan program with PLP status. We have a 15-year track record of default history, frequency and severity, and we do real 5Cs of credit underwriting. We have a very unique model using the NewTracker system as does many of our portfolio companies that we provide a license to use it and to use the Newtek brand to get referrals in that enable us to acquire referral opportunities without using brokers or purchasing loans in auction bases on Wall Street. The average loan size of our portfolio is 183,000. So, you get tremendous diversification with 183,000 average balances that are quarterly-adjust, prime plus 2.75% with no caps. The loans are a very good form of financing for businesses as they get a 7 to 25-year amortization schedule. Weighted average maturities of our loans tend to gravitate towards 17 to 18 years. Secondary markets, which has been established for 7(a) loans, has been around for over 61 years. Going to slide number ten, you could take a look at what our pipeline looks like. Our pipeline is up $193 million versus $175 million at the year prior. For the 12 months ended, loan fundings increased by 24.8%. One thing, I think, that's important note, with the recent technologies that we've put in place relative to being able to upload data from our customers in a ShareFile format. We are really getting the borrowers, putting loans through our system significantly faster. And some of the upcoming slides will demonstrate that. So, our pipeline growth tends to be a little bit muted, in that we're cleaning these loans out a lot quicker and getting the borrowers, getting to prequals and underwriting without sacrificing quality based upon our technology being able to pass data from assembler to underwriter to credit memo to credit committee to pre-close to post-close. If we take look at slide number 11, this is one of the key slides relative to optimism for growth in the future, not only for the 7(a) program, for the 504 program, for the line of credit program, which is conventional debt by inventory for the line of credit program backed by accounts receivable, as well as our 504 program going forward and a conventional loan program that we'll look out put out in the future. My point being, of the $10.8 billion worth of loans that we looked at in 2017, a 28% increase, a significant percentage of those are creditworthy, won't fit in the 7(a) box. We intend to utilize those opportunities in portfolio companies that do the business entirely different than the 7(a) business and really make good damage of the infrastructure that we have. In year-to-date through February 28, 2018, loan referrals were $3.2 billion. We're having a pretty big first quarter for loan referrals, almost a 78% increase. Now, I want to point out that the world doesn't work linearly. So, when things change pretty quickly, we've got to change with them. So, don't think that the 78% referral increase is going to relate to a 78% increase in what we're doing. We've got to bring people in, scale up, whether that's assemblers, underwriters, all aspects of the business. So, please understand – the good news is we're getting more opportunities, but growth does have its limitations and we feel very good about where we are, what our projections are, but I don't want everybody taking out their slide rules and saying, okay, we're just going to increase our funds by that amount. And it does happen. In 2009 – this is extremely important – units referred, 103% increase. A lot of this is based upon, A, be able to staff up, bringing in additional resources, particularly in management, but most importantly our technological improvements internally have made this happening. Year-to-date, through February 28, the units are up 280%. So, we've got a lot of work in house and we're getting to it. On prices, slide number 12, for the last three, we talked about rates going higher. Well, they're finally happening. And we've had a lot of conversation about rates going higher and the premiums are going to go down. And I've said, no, no, no, not the case, not the case. I do want to point out that, on a going forward basis, the big determinant in the changes of these prices is based upon prepayment expectations and not movements in rates because these are floaters. So, at the moment, prepayment expectations are still muted. If this economy does gravitate, and I've said this forever, to a white-hot economy, this could represent a bit of decline there in the prices that we're getting. I don't expect it. I don't forecast it. But we tend to forecast conservatively and we haircut things vis-à-vis the number. Slide number 13, you could take a look at the performance of the loan portfolio. We are proud of these statistics. When you look at our non-performance as a percentage of the 7(a) portfolio, typically, it's trending between 4% and 5%. That's pretty steady. We're happy with that level of performance. And charge-offs, they are gravitating toward the low end of what I think they openly gravitate toward with respect to an equilibrium and what we're underwriting to over the long-term averages. With that said, when we forecast, we typically stick to what we view the long-term averages are. So, when we're coming in under these numbers, we do tend to get a bit of a surprise. Also, for the analysts out there, I want to point out that that it's important also to take a look at our balance sheet. When we have non-performing loans, we do write down the NAV immediately, but the losses occur as they're liquidated. So, for those of you that are trying to forecast things in the future, you certainly could take a look at that particular balance sheet item. Slide number 14 and 15 are traditional slides that we've had from our time as a BDC, even before that. They show the net cash creation of a 7(a) loan. They also show the income aspects of it. It's not important to go over this today, but for those of you that are new to the story, this is an important granular aspect of what do in 7(a) lending. Moving to the portfolio company review, important to note, little over 30 – I think we have 32%, 33% of the dividend income paid in 2017, came from the portfolio companies. That is valuable because that dividend does get taxed at the portfolio company level and then it gets distributed up in the form of a qualified dividend to shareholders. So, that portion of the dividend that is qualified, investors get the benefit of getting a lower tax rate on that dividend. Our 504 business sits at the portfolio company level of Newtek Business Credit. And this is a basic description of what 504 loans look like. These are basically loans to businesses. That's important. These are not CRE or commercial real estate loans or backed by commercial real estate. These are loans to businesses that are performing and doing well, backed by the commercial real estate. You can get up to a 90% LTV against the real estate. The funding can't be used for working capital or purchasing inventory. When we make these loans, we put a first lien on 50% LTV. The government puts a 40% second lien on it. When we make the loan, the 40% lien is – the 40% take-out is in existence from a CDC, Community Develop Corp., that gets taken out by government debentures. So, our income – I think that's on slide number 20. So, let me go to 18. This is what a pipeline looks like. Obviously, you see, this is a growing part of our business. We're very excited about the 504 loan business, headed up by Tony Zara and his team up in the Orlando office. On slide number 19, we closed $21.8 million in loans and we're forecasting $75 million to $100 million in loan closings in 2018. Slide number 20 shows what a typical 504 loan would look like. Slide number 21 basically shows the analysis where the cash is and where the income comes from. Important to note, we are income on fees for the senior loan, for the 40% second. We get typically carried interest on the coupon on the loan versus our warehouse loan – warehouse bank. And then, when we're able to sell the government guarantee, the 50% conventional first, which we've done unsuccessfully, we're able to get premiums ranging from 3% to 5%. Our largest portfolio segment is the Electronic Payment Processing business. We've owned and operated it for over 10 years. We own a 100% of our payment processing businesses. We processed a little over $6.1 billion in payments in 2017. This is a business that did attribute to some of the increase in NAV last year. And I refer to last year as 2017. We're forecasting an adjusted EBITDA of about $14 million. That's about a 7.4% valuation. This business is sitting on our schedule of investments at a $103 million net of debt as of 12/31/17. When you look at the comparables, we feel this is appropriately marked. Our Tech Solutions business, it's probably third in line as a contributor. Consists of three portfolio companies. Combined market value of $23.5 million net of debt. We basically are able to provide, to our client base, managed technology and cloud computing solutions. That's done through Newtek Technology Solutions. IPM provides professional technology solutions in the way of selling hardware and software and professional consulting services. And Cloud Nine provides a white label professional services for some of the largest software companies in the world. Before I hand the presentation over to Jenny, I always want to do a quick summary. Many of our investors are typical traditional BDC investors. Some of them are fintech investors and some of them are financial services investors. But the bulk do compare us to other BDCs. When I look at other BDCs, I don't see dividend growth year-to-year, I don't see the earnings growth year-to-year, I don't see the NAV growth year to year. It's because the business models are different. They're investing in riskier assets, we believe, than the assets that are in our BDC. They're typically mezzanine debt and subordinated debt with equity kickers. The majority of the BDCs are externally managed and they've got to pay 2% in 20% out to the managers. So, 4% comes right off the top. All of our expenses are loaded right into the internally managed structure. Management's interests are very much aligned with shareholders. The management and the board combined own 6.2% of the outstanding shares of December 31, 2017. When you look at the risk of our balance sheet, when you look at the average loan size of 183,000 diversified industry, diversified ZIP Codes – and we're not new to this business, we've been doing it over 15 years through different lending cycles, up rates, down rates. We have a proven track record. We are very excited about our business opportunity. Look forward to the Q&A, but I'd first like to have Jenny do her financial review to sum up the fourth quarter, which is spelled out in this PowerPoint. We have had some investors that have commented on – why don't we put our quarterly results. They're in this document. They'll be in the K. This was posted last night. We do this for the purposes of transparency. But I'll continue to repeat myself, as I've done over 12 quarters. We believe the market should be paying attention to this company on an annualized basis and looking at us as a long-term investment and not quarter to quarter. Jenny? Thank you.
Jennifer Eddelson : Thanks, Barry. Good morning, everyone, and thank you for joining today's call. I'd like to start with some financial highlights from our 2017 consolidated statements of operation. Slide 27 depicts a summary of our year-to-date and our quarter-to-date 2017 results. In total, we had investment income for the year ended December 31, 2017 of $38.9 million, a 25.7% increase over $31 million in 2016. The majority of this increase was from the growth in interest, interest income, servicing income and other income on our non-affiliate investments year-over-year. The increase in interest income was attributable to the average outstanding performing portfolio of SBA loans, increasing to $227.8 million from $176.2 million for the years ended December 31, 2017 and 2016 respectively, as well as prime rate increases throughout the year. We recognized servicing income of $7.2 million in 2017 as compared to $6.2 million in 2016, a 17% improvement which was the result of the SBA loan portfolio for which we earned servicing income increasing from $633.1 million to $783.6 million year-over-year. Other income, which relates primarily to legal, packaging and other loan-related fee revenue, increased by approximately 21.2% from $2.7 million in 2016 to $3.3 million in 2017 as a result of an increase in loan origination volume year-over-year. Dividend income in 2017 declined by $826,000 to $9.7 million from $10.6 million in 2016. For the year ended December 31, 2017, our dividend income included approximately $7.1 million from Newtek Merchant Solutions, $1.6 million from Premier Payments, $560,000 from IPM, $225,000 from Sidco and $200,000 from CDS. Total expenses increased by $6.6 million year-over-year or 16.3%. Salaries and benefits increased by $4.1 million, representing higher compensation levels and an increase in the number of employees resulting primarily from increases in loan originations, underwriting and closing and servicing activities required to manage a growing loan portfolio. The increase in salaries and benefits also relates to a $386,000 increase in stock-based compensation year-over-year. Other general and administrative expenses increased by 5%. I'd like to point out, if you're looking at the quarter-over-quarter increase in other G&A that, in Q4 2016, we had a reduction in our lease liability, resulting from the sublet of our West Hempstead space. This resulted in a $731,000 credit or positive impact to other G&A in the fourth quarter of 2016. In addition, we reported $675,000 of reserves on related party receivables, primarily related to banc-serve in the fourth quarter of 2017. Interest expense increased by approximately $3 million year-over-year due to higher average debt outstanding during 2017, coupled with a higher weighted average interest rate as compared to 2016. Overall, we had a net investment loss of $7.9 million as compared to a net investment loss of $9.3 million year-over-year. Adjusted NII for the year ended December 31, 2017 was $30.8 million or $1.77 per share as compared to $23.2 million or $1.60 per share for the year ended 2016. Our adjusted NII for the fourth quarter of 2017 was $9.2 million or $0.51 per share as compared to the Q4 2016 adjusted NII of $6.7 million or $0.46 per share, an increase of 10.9% on a per share basis year-over-year. A reconciliation of adjusted NII for the quarter and full year ended December 31, 2017 can be found on slides 29 and 30 respectively. Net realized and unrealized gains totaled a positive $46.9 million in 2017, an increase of $10.3 million and primarily represents realized gains on the sale of the guaranteed portion of SBA loans sold during the year. In 2017, NSBF originated 480 loans totaling $385.9 million and sold 458 loans for $283.6 million, generating $40.5 million in realized gains at an average price of 111.99%. The 2017 realized gains were offset by realized losses of $894,000 for the year. During 2016, NSBF originated 402 loans totaling $309.1 million and sold 379 loans for $226.4 million, generating $32.4 million in realized gains. These gains were offset by realized losses of $925,000 for the year. The average sale price in 2016 as a percentage of the principal balance was 111.91%. Overall, the company had a net increase in net assets resulting from operations of $39 million or $2.25 per share for the year ended December 31, 2017 as compared to $27.3 million or $1.88 per share for the year ended December 31, 2016, an increase of 19.7% on a per share basis year-over-year. I would now like to turn the call back to Barry.
Barry Sloane: Operator, we welcome calls from the listening group.
Operator: [Operator Instructions]. Our first question is from Leslie Vandegrift from Raymond James. Your line is now open.
Leslie Vandegrift: Hi. Good morning. And thank you for taking my questions. I know you touched on this a bit in the prepared remarks, but the other operating expenses and G&A, can you give me a break down of that just for the fourth quarter?
Jennifer Eddelson: A break down in terms of what the change was?
Leslie Vandegrift: Yes.
Jennifer Eddelson: Sure. So, we had an increase in other G&A of about – let me just hold on one second. That's in the slide actually.
Barry Sloane: Jenny, this is relative to the lease this year. Leslie, while Jenny is looking for the number, there's two items that we believe are non-repeatable and non-reoccurring. One, we had a gain in 2016 that related to the extinguishment of a lease operation. So, from a comparison, it then looked like 2017 had extra costs. The other expense, Jenny, while she's digging out the number, related to funds that we see pushed down into banc-serve, its portfolio company, to cover legal expenses to clear the current issue up. What's the total of those two, Jenny?
Jennifer Eddelson: The sum of those two amounts are about $1.3 million. So, that's really your increase quarter-over-quarter. We had other G&A $841,000 in Q4 2016 versus $2 million in Q4 of 2017. And that's the primary driver of the increase.
Barry Sloane: Those two items account for like $1.3 million?
Jennifer Eddelson: $1.3 million.
Barry Sloane: And what's the full delta?
Jennifer Eddelson: The full delta is $1.2 million.
Barry Sloane: There you go. It's those two items.
Leslie Vandegrift: Perfect, thank you. And on the net asset value increase in the quarter, can you give me an idea of how much of that was due to changes in value due to tax reform or other factors at the end of the year?
Barry Sloane: I think it's a little bit of both. I think the entire stock market has been affected by changes in tax reform as it improved most businesses' cash flows by 20% to 30%. I think the other thing that you look at is – in particular, the public market comparisons of these businesses. They're off the charts. We can't ignore that. So, if the public stock markets keep rising, that's part of our evaluation basis, it's cash flow – just kind of cash flow which obviously tax reform would affect. It's a public market comparison and it's based upon where, most importantly, we feel we can sell these assets and negotiate [indiscernible] transaction. So, I think the increases that we took were more than appropriate and, clearly, not excessive or aggressive at all.
Leslie Vandegrift: Okay, thank you. And then, on the 504 loans and the 7(a) loans expectations for the year, you said about $75 million to $100 million on the 504 that the pipeline right now is almost $100 million. What's the hit rate on that fund of ones in the pipeline that you end up doing? And then, on 7(a), what are expectations for 2018?
Barry Sloane: Sure. I think it's also important to note, and this may take some more work, it's a little bit tricky, the revenue recognition which is down to portfolio company gets taxed and then gets distributed and dividended up. So, I believe, Jenny, we are able to recognize revenue on the fees –
Jennifer Eddelson: Yes, origination fees.
Barry Sloane: Origination fees as they come in because the loans typically in this environment are there for sale, particularly the origination fees on the second debentures and then on the first and then we get gain on sale when we sell it out. I think that – and these pipeline numbers are going to change as we continue to dive into this market and our mix gets better, but I think that on that existing pipeline, I think you could easily forecast 30% of that pipeline as it exists today should close with a pretty high level of confidence. Then, the loans could close, you've got – in the 504 business, you've got some ground-up construction, you've got some partial refurbishing and rehabilitation of properties in there. So, the team that we have in Orlando, very well versed in this business. 20-plus-years' worth of experience. We think this is a major growth business for us. We're very excited about it.
Leslie Vandegrift: All right. Well, thank you for taking the questions this morning.
Barry Sloane: Thank you.
Operator: Thank you. Our next question is from Nick Grant from KBW. Your line is now open.
Nicholas Grant: Hey, good morning, guys.
Jennifer Eddelson: Good morning.
Barry Sloane: Good morning.
Nicholas Grant: So, maybe I'll start with kind of the originations here. Obviously, the pipeline is really strong. Your guidance is strong. We've heard from some other competitors in the SBA space, the move to require 10% down payments is impacting growth. Do you guys see any impact from this at all or would you comment on that statement?
Barry Sloane: Could you clarify that, Nick?
Nicholas Grant: Yeah. I think the SBAs are now requiring a 10% down payment on all the different loan segments.
Barry Sloane: Well, the typical equity infusion if you're looking at commercial real estate, property is between 80% to 90%. So, that doesn't really affect us. The one thing I will say is my recollection of the SBA statistics at the end of their fiscal year, which was September of 2017, their business was off 11%. Our business is up. Our business is up because of our differentiated business model, because we don't use brokers coaching borrowers. So, we're looking for businesses, are looking for long-term capital. I'm not looking for businesses that are typically coached by PDOs in the middle to get the maximum leverage out of us as a lender. The only thing I would say is, because of our business model, and we don't push ourselves out as a 7(a) lender, we're just a small business lender, we take the opportunity in and we figure out what is the best program for the customers. Is it 7(a)? Is it 504? Is it line of credit? As I mentioned, we've had this in our public documents since 2014 when we converted. We do plan on coming out with a conventional program. That does not bother us. It is creating fits for the people that their entire distribution channel is based upon a brokered network.
Nicholas Grant: Okay, great. And then, you kind of touched on this already, but how should we think about dividends from controlled companies growing here. Obviously, payments, companies making a lot more. It sounds like there is a pretty significant ramp in 504. So, how should we think about what would be paid up in dividends?
Barry Sloane: I have to say this, Nick. Number one, I really appreciate the work that you and the other analysts do in our company because it's not that easy and simple to follow. It's confusing. What we are the analysts in the Street to do, we have a three-year track record of forecasting, being conservative in our forecasting. And you can follow trends. Jenny has kind of giving you numbers that we've dividended up. So, take a look at our dividend forecast of $1.70. We always aim to try to get right in the middle. It's never going to happen where it's 95%. It's always going to be 93%. Sometimes, it might be 97%, but we've been pretty good over the course of time. The important thing is there is an upward trend. So, we looked at the dispersion, for example, of the Street estimates in 2017. Boy, there was some pretty wide dispersion out there. And we don't really know how that stuff gets that dispersed. So, I think the good way to look at it would be figure 30% to 40% of the income will come from the portfolio companies. That could change. That's kind of been our history, although we started of a little bit higher, but the leading business is outperforming. So, if you take that into account and you back into what we put out there from a long-term forecast, that's a good thing. Sometimes, people get upset because we didn't highlight our press release with fourth-quarter numbers. Well, we've done that for 20 years. We've always reported the fourth quarter on an annualized basis. The fourth quarter numbers were in the PowerPoint. They're in the Ks and Qs. You can get to them. But, really, try to look at this from a long-term trending perspective and a long-term investment opportunity. And I'm really pleased. The Street, the analysts have been very supportive in that area. And I think that's why we're trading at a premium to the NAV.
Nicholas Grant: Okay. Appreciate the color on that. And maybe I'll kind of ask it in a slightly different way, so as we think about earnings increasing quite a bit from tax reform at the controlled company levels, how much of the increased cash flow or earnings in those different units kind of calls to the bottom line through being dividended up?
Barry Sloane: Yeah. So, that's a great question because, clearly, the tax rate change is beneficial to the portfolio companies. However, if you look at what we put in this presentation, we have bigger growth rates in the lending business now than I do from the portfolio companies. The management team, the board and I are working very hard to change that, but I would sort of stick to the overall ratios that I gave you. And don't – if you're going to get over-exuberant, you I would do it on the lending side. We might get some favorable tax benefit from CDS, which does lending as a portfolio company, but right now the growth is in the lending part of the business. I hope I answered that. I tried.
Nicholas Grant: Yeah. No, that works. I guess the biggest thing to me is – so, you have this really significant growth pipeline in 504 that's kind of new, right? And that's coming through the controlled company. So, I'm just curious what – I guess the earnings in that company – or in that unit, what falls through dividend income from controlled and what gets, I don't know, reinvested in the business? I'm just trying to think about how much dividend income from controlled grows with that unit seeing so much growth.
Barry Sloane: I would say, given where we are in the phase, there's difficult visibility there. Also, we try to put a materiality gauge on these before we give out because, otherwise, we've got a lot of these businesses, Nick. I appreciate you being interested in the granularity. I think that, if you work through the model and you figure out some of the assumptions I've given in funding, you take average prices, I think you can back into a number that would come out of a CDS or out of the 504 business over time. We do think it's a growth opportunity for us. At the moment, and I say that 2017 not material – I would say not material first quarter, it could actually be a couple of points, 5% of total earnings, but I don't – I guess I should keep my mouth shut and say, as I'm struggling to try and help you, I don't have good visibility on that.
Nicholas Grant: Okay, great. Appreciate all the color. Thanks for taking my questions.
Barry Sloane: Thank you.
Operator: Thank you. Our next question is from Mickey Schleien from Ladenburg. Your line is now open.
Mickey Schleien: Good morning, Barry. And congrats on a good 2017.
Barry Sloane: Thank you, Mickey.
Mickey Schleien: I guess I also want to ask some questions about 504, and that's simply because it's a large part of the growth this coming year. So, those are fixed rate loans. I'm just curious whether you're seeing your customers, your borrowers accelerate their plans to borrow ahead of expected rising rates and sort of what cadence can we expect for your forecast loan closings of $75 million to $100 million?
Barry Sloane: Sure. I think that because of the changes, it's reduced the burden of rising rates on fixed rate obligations. And not all these businesses will qualify. And we're not yet in a lending environment where community banks are aggressively looking to do these kinds of loans. Now, if all of a sudden, the commercial real estate component of these assets picks up in valuations or somebody can go out of an originally originated 80% or 90% LTV commercial real estate-backed CI loan where they can get a 70% into a bank to get it fixed, you're going to see that. The 504 is an alternative to being able to get somebody into a fixed-rate option. 504 loans are fixed for five years and then they adjust over a five-year index. We're not seeing a tremendous amount of that, but I do think that's possible another quarter or two down the road as you get another 25 or 50 basis points in rate hikes.
Mickey Schleien: Okay. And I'll follow up on the 504. Last year, you funded $18 million of the 504 loans and you sold $6 million. So, I realize that there's economics to consider in terms of what you keep on the balance sheet or actually, technically, I guess, it's on CDS' balance sheet and when you sell. But can you give us a sense of how quickly you expect that portfolio to turnover?
Barry Sloane: Sure. So, the $18 million – just round numbers, assume $9 million was taken out in debentures, right? So, they've only got $5 million. And those, most likely, are loans that still haven't fully funded or partially funded. The appetite, we've got investors that are coming in and wanting to put circles on loans before they're even close, when they're in underwriting. So, there's a real good appetite for loans with the spreads, they're high-quality loans, they're 50%, they're C&I loans, loans made to a business with 1.1, 1.2 debt service coverage ratio with 50% LTVs on the real estate collateral. So, they're really good loans. There's a real good loan appetite for particularly smaller banks that want these products. So, I think this is a good market. I think this is also good market for us because we're going to be able to think some of that $11 billion that we look at in 2011. And some of that, we're growing – right now, you're in a $13 billion, $14 billion type run rate for this year. And put them into 504 for loans. With the borrowers not saying, do you have a 504 loan? Most borrowers don't know what a 504 loan is. They don't know what a 7(a) loan is. They come to us for a small business loan.
Mickey Schleien: I understand. I'm going to ask a similar question that was previously asked, but maybe in a different way. Again, focusing on CDS. Can you give us a sense, at least what sort of net margin that business might have this year, even if it's a range, and what kind of payout ratio they can manage, taking into consideration their working capital needs?
Barry Sloane: As we sit here today, CDS also has a line of credit in the inventory business unit, which generates a decent amount of cash flow. So, I would guide you toward the fact that we can pretty fully pay out the earnings and we'll continue to push capital down into the business as an as-needed basis to fund the haircuts.
Mickey Schleien: Okay, that's helpful. I appreciate your time this morning. Thank you.
Barry Sloane: Thank you, Mickey.
Operator: Thank you. Our next question is from Casey Alexander from Compass Point. Your line is now open.
Casey Alexander: Hi, good morning. This is really just a maintenance question. And probably Jennifer can answer this in terms of modeling. For Q1, I think you're going to have around a million dollars of accelerated debt offering costs related to the call of the 7% baby bond. Are you going to leave that in the adjusted NII number or will you back that out of the adjusted NII number when you report Q1?
Jennifer Eddelson: We will be adding that back to the adjusted NII number in Q1.
Casey Alexander: Great, thank you. That's my only question. I appreciate it.
Barry Sloane: Casey, thank you.
Operator: Thank you. Our next question is from Scott Sullivan from Merrill Lynch. Your line is now open.
Scott Sullivan: Hi. Thanks for taking my call. And congratulations on another great quarter and for really cutting yourselves from the herd in the BDC space in what, obviously, has been a tough interest rate environment. So, this can be a rather complex story with all the layers in the deck. So, Barry, what would you say is the most important takeaway for us and for new investors? And then, I have a follow-on.
Barry Sloane: I think that what we tried to do for this earnings call was really demonstrate the longer-term trends. The long-term trends and how the stock has moved around from $120 million BDC to 323 and $30 million BDC, the fact that we've always been able to – hopefully, this will continue in the future. I got my lawyer sitting up my shoulder. Promise, but deliver more, both in dividend – we've tried to evidence that we've been prudent. We've been in the lending business for over 14 years. Our cost of capital continues to go down. Our Capital One bank line rates reduced. Our baby bond rates reduced. We've been more efficient in raising equity. So, what we're trying to get investors to focus on is that we're a long-term opportunity and we're going to have bumps in the night. They always happen to happen to everybody in every aspect of life and they certainly happen in business. So, that's the big takeaway. Look at the long-term trends. We always put slide number two out there. We try to show what we do year-over-year. And one other thing that's important. We're doing a lot of things at the same time. People tell me you can't do that. Well, we've done it now for 20 years at the company and 18 as a public company. We work hard at it. Not all things are going to go straight up at the same time. There are many times we've got to best in businesses. We're, obviously, dealing with the banc-serve issue and some other issues that we hogtie us. But we've got a great core strategy in terms of how to acquire clients, how to acquire referrals and to process the business and a management team that is very dedicated and focused towards its strategic goal and mission. So, that's hopefully what the primary takeaway is.
Scott Sullivan: Fantastic. Barry, thanks. And finally, from a blue sky perspective, in terms of things that could go really well and really right for you, what would you say those one or two things are? Is it in cross-selling? What really gets you very excited about a blue sky going forward?
Barry Sloane: I would say that the most important thing that – I'm going to give you two answers. The simple one – and I do have a lot of my staff that listens to these calls. The important thing is that we get more senior managers in the company that work with a passion, look at what's working, figure out – because some of these team managers are new and really fit into the strategy and be additive because if we can get these three other pillars cranking, it's going to be really exciting. That's what gets me excited over the top. The easy, low-hanging fruit, frankly, is to continue to go on the path to what we do well, particularly in the lending and the payments business and exploit the opportunities that we have in the market. I think there is – I want to jinx us. I'm knocking wood. There's wind at our back. We've got the technology. You can't replicate this in a finger's snap. You can't replicate 10 years of conversations with people making referrals to you, building the technology, finding the staff that does the business differently than any other place. We have that. That's not easy to replicate. So, I think for the short-termers out there, continue to look for really good success in our top two businesses. For the long-termers, have patience, we will figure out these other three areas and then it becomes a very, very, very exciting horse race.
Scott Sullivan: Thanks and congratulations again.
Barry Sloane: Thank you.
Operator: Thank you. Our next question is from Lisa Springer from Singular Research. Your line is now open.
Lisa Springer: Thank you. Usually, Barry, you'd give us a slide showing us about what's in the pipeline for acquisitions for the portfolio companies. I'm just wondering what's going on in the area. Are valuations so rich? O are you focusing on digesting what you've already purchased? Could you comment?
Barry Sloane: Check, check. So, you've got a crystal ball there and you've got the exact answer. Valuations are expensive. We have a couple of small ones we're looking up, but nothing major. And we have so much on our plate right now that the better opportunities are focused on the existing assets and resources that we have. So, those are insightful questions and appreciate your thoughts.
Lisa Springer: Okay, thank you.
Operator: Thank you. Our next question is from Marc Silk from Silk Investment Advisors. Your line is now open.
Marc Silk: Hi, Barry. Congratulations on another solid year.
Marc Silk: Thank you, Marc. Thank you.
Marc Silk: Okay. So, my first question is, after the whole tax law changed, obviously, not just the tax rate, but more importantly the investment in equipment how it gets expensed, have you seen an uptick in interest, A? And, B, also, your existing clients that have loans, have they come back to you and said, you know what, now we were holding off some investments, but now maybe we want to redo our loan and borrow more money?
Barry Sloane: Clearly, the latter more. A lot of our existing companies are experiencing and anticipating increased cash flow. And we do find that existing portfolio pretty regularly to see who has additional – whose business is working well and qualifies for additional funding. Marc, what was the first part of your question because I kind of [indiscernible] that?
Marc Silk: Just with the change in the tax law, we are – more importantly, the way that you can expense investments, have you just seen a larger wave of incoming – inbound calls, let's just say, to inquire about, obviously, borrowing money now whereas they might have been holding off in the past.
Barry Sloane: We think there's a lot of business demand. Here's what's interesting and this is an important point. The world, whether it's a consumer or a business, they're reluctant and resistant to change. There are a lot of businesses that are not making changes, that are not making changes in how they deal with consumers, how they manage their staff, how they manage their technology. Those businesses are going to go away. They're not progressive. But businesses that are progressive, and there's a lot of them, there's a good need for capital out there. And we could provide it and those are the businesses that you want to back. So, I think this is a very healthy business environment that will not be thwarted by an increase in rates, provided that they're gradual, muted and don't – that we're not – we're talking about 100 to 200 basis points and not much more than that.
Marc Silk: Sounds good. On your technology business, I know you've always felt like that could be the next growth driver. So – and I assume you've definitely made some investment in human resources. What other things are you thinking of? Like, maybe buy some IT companies that maybe are – because they're so competitive, that aren't doing well and throw them a bone before they go out of business and on the cheap by their client base, although that can be a risky endeavor. I just kind of want more color on where you think you can see some growth in that area because I know you're very high on it.
Barry Sloane: Okay. Well, in addition to going to synagogue this weekend, Marc, we think that the IPM acquisition was a very good acquisition for us and bulking us up on institutional intellectual capital to help businesses find the right solutions. We're still very acquisitive. We are looking for additional help in that area. When we see things that make sense to us, we'll jump on it. But there's nothing in the pipeline right now.
Marc Silk: Okay. And a BDC question. So, I know you're very unique. Let's say this year's dividend, assuming the price is around $17, give a 10% yield, because one of your biggest challenges, telling people we're your grandparents' BDC because, again, you have upside potential and, as you said, your cost is a lot less than the normal BDC.
Barry Sloane: It's what we do regularly. I appreciate the comment. We do that regularly. We do it on the call. I do that in investor meetings. We'll do that at Raymond James. So, yeah, that's basic blocking and tackling that we've done for three years as a BDC and we're comfortable with it.
Marc Silk: And my question is, on your cross selling, on a percentage of just, say, business, because apples and oranges, the lending to like your payments, where do you get the most success? From like a payment company to your lending, your lending to your technology, a percentage-wise because, again, obviously, number-wise, just because of the size of the banks, you'd obviously be the first – I mean, the lending would be the first. But just curious.
Barry Sloane: We're very careful on the lending side and really have not traditionally tried to interrupt the flow there. And we also are very careful never to cross the line of financing with a service. We're still trying to figure out that mousetrap to make sure customers are comfortable being solicited at the time that they have a loan or after the fact. The two easiest areas of integration are payroll and insurance. Payroll, workmen's comp and health insurance and HR, that is ham and eggs. We can go and do a PEO, but, frankly, it's a very expensive way to take care of that solution. So, we're working hard at getting those units to work together. And I would say, payments and Web design and hosting are also very closely related. But we're still working on figuring out the best mousetrap to get into this market.
Marc Silk: And one comment. As a shareholder, I appreciate your continued and the board's continued buying of your shares outstanding because it just shows you that you guys know more than anybody seeing the business and the fact that you keep throwing money at this even though you don't have to because you have such a sizable position, it's just as a shareholder – it's nice to know that we all are happily on the same page. So, congratulation on another good year and continued success.
Barry Sloane: Thank you, Marc.
Operator: [Operator Instructions]. And our next question is a follow-up from Mickey Schleien from Ladenburg. Your line is now open.
Mickey Schleien: Barry, just a couple of quick questions. Is there anything that you can say about the banc-serv situation in terms of an update and when do you expect to file the 10-K?
Barry Sloane: Sure. On the last question –
Jennifer Eddelson: Probably in about five more days. Our auditors are still wrapping up their review process. So, probably about five more days to filing.
Barry Sloane: Tuesday?
Jennifer Eddelson: Yeah. Monday or Tuesday.
Barry Sloane: Monday or Tuesday. Okay, five more calendar days. And, Mickey, on banc-serve, that incident is now about six months old. We continue to cooperate with the authorities. We've been open for business from the day the incident occurred. No one's been terminated. From my perspective, as the company that's invested in banc-serve, we believe we've got a duty to shareholders that if we saw anything that was inappropriate or wrong, we would take an action. So, so far, we've done tremendous amount of investigation. We've brought significant amount of external people into the company to try to get a handle on what it is. This, frankly, may have something to do with banc-serve or it's conceivable it may not. I don't have any other update than that. I do appreciate the question because it helps me at least address the investment community, but I don't know anything that you don't know at this point in time.
Mickey Schleien: Okay, thank you, Barry.
Barry Sloane: Thank you very much.
Operator: Thank you. Our next question is from Michael Kitlinski from UBS. Your line is now open.
Michael Kitlinski: Hey, Barry. Congratulations on a great year. Couple of follow-up questions about interest rates. At what point when rates rise do you expect maybe to slowdown in loan origination? And also, at what point would you imagine that the loans start getting a little more risky in terms of default?
Barry Sloane: Sure. Clearly, rising rates for a business, with everything else being held constant, is problematic because you have to use more of your cash flow to service higher levels of debt. I think the long ham [ph] schedule helps because it really reduces the overall payment. The tax cut, however, is giving businesses significantly more excess cash to be able to combat the issues of dealing with rising rates. Relative to a certain level of rates slowing down borrowing needs, we've been – I started in the investment business in 1982 when the long bond was 14s of 11 and the Dow was in the 700s. So – and people actually did business with treasury rates at double-digits. People would buy homes and pay 13%, 14%, 15% on a mortgage. People actually did that. I think some people find that like amazing, but, yeah, it happened. So, from our perspective, what's being discussed, which is a 1% or 2% – actually, no one is talking about that. That's what I'm talking about. I think the Fed is talking about hundredish movement in rates. And most people don't talk about like a 5% tenure, which I think is viable. This economy still moves. You're going to get some inflation in the numbers. From everything I could see, there is nothing from these rates rises that will slow the economy down and we don't see our borrowers feeling that way either. We don't have a tremendous amount our borrower complaint currently about rates rising.
Michael Kitlinski: All right, great. Thank you for the question.
Barry Sloane: Thank you.
Operator: Thank you. At this time, I am showing no further questions. I would like to turn the call back over to Barry Sloane, CEO and president, for closing remarks.
Operator: Thank you, operator, and greatly appreciate the amount of questions we had today. It was terrific. We certainly welcome the opportunity to chat with investors. Many of you are aware you can contact Jane directly or me directly. Jane's information is on the front page of the PowerPoint. We look forward to working with you. And we look forward to having a great 2018 as well. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect.